Operator: Welcome to the Icade 9-month Trading Update Conference Call. [Operator Instructions] Now I will hand the conference over to Nicolas Joly, CEO. Please go ahead.
Nicolas Joly: Good morning, Nicolas Joly speaking. Thank you all for being here today on this call. Along with Bruno Valentin, we are delighted to present this morning Icade 2025 9-month update. This presentation will be, of course, followed by a Q&A session. Let's move to Slide 5 for an overview of the main messages. To date, Icade has completed or signed preliminary agreements for EUR 430 million in disposals. This includes a reduction of the group exposure to healthcare activities by circa EUR 210 million and the sale of mature or non-strategic assets for EUR 220 million.  The investment division reported a very good rental activity with circa 166,000 square meters signed or renewed to date. This volume was boosted in October by the renewal of 41,000 square meter in EQHO Building with KPMG. For several months, the financial occupancy rate has improved, notably for well-positioned offices and light industrial assets. On the property development front, H1 trends are continuing into H2. By the end of September, Icade recorded stable order volumes with a total value decrease of minus 5%. Lastly, we reaffirm today our 2025 group net current cash flow guidance between EUR 3.40 and EUR 3.60 per share.  On Slides 6 and 7, we focus on the good progress made on disposals. Early August, Icade signed an agreement with BNPP REIM to sell its stake in a diversified portfolio of 23 health care assets, accounting for circa 15% of its exposure to the healthcare real estate sector. This transaction with one of France's leading real estate investment management firms confirms the quality of healthcare portfolio in Italy. These sales represent circa EUR 173 million for Icade, in line with the asset values included in the group NAV as of June 30, 2025. The proceeds from the sale will repay the shareholder loan from Icade to Icade Healthcare Europe almost in full. The deal is scheduled to close at the end of the year. In addition, year-to-date, Icade reduced its exposure to Praemia Healthcare by EUR 36 million through 2 smaller transactions completed in the first half of 2025.  The property investment division also secured EUR 220 million in disposal of nonstrategic or mature assets. Since the last year results, preliminary agreements were signed on additional assets for EUR 115 million, namely an office asset covering 1,800 square meters on Charles de Gaulle for EUR 17 million, the remainder of the B&B Hotel portfolio for circa EUR 30 million and the entire Mauvin business park in the north of Paris, representing 21,000 square meters for EUR 69 million. This successful transaction is the direct result of the hard work of our asset management teams who managed to bring the occupancy rate of this park up to 100% by the end of June. All of these transactions represented an average yield of about 6.1% and were completed at prices above the net asset value as of the end of December 2024.  Let's look now at the performance of investment division on Slide 9. Over the first 9 months of the year, the rental market remained challenging with take-up in the Greater of Paris region down 8% year-on-year. The subdued economic environment and French political instability continue to weigh on corporate real estate decisions. As we observed in the previous month, there has been still in Q3 2025, a lack of new leases signed for spaces over 5,000 square meters. In this environment, Icade teams delivered a very solid performance with around 125,000 square meters signed or renewed by the end of September.  These agreements represent an annual rental income of EUR 29 million with a WALB of 6.8 years. This achievement demonstrates our ability to secure large leases over 5,000 square meters and to support our clients over many years like Club MÃ©d, who has been our tenant within Pont de Flandre for 30 years. It also shows our expertise in creating spaces tailored to our client needs as we have done with Sopra Steria in the Orly-Rungis business park. The total financial occupancy rate stood at 84% as of September 30, 2025. In the well-positioned office segment, the financial occupancy rate stood at 88.8%, up plus 0.8 points compared to the end of December 2024, following, in particular, the leases signed for more than 3,000 square meters in the Hyfive building and nearly 2,000 square meters in the EQHO Tower.  After including the [indiscernible] in the first building scheduled to start in Q4 2025, the financial occupancy rate of well-positioned offices stood at over 90%. In the light industrial segment, the occupancy rate stood at 90.4%, plus 1.5 points versus December 2024, thanks to leases signed in November, Port de Paris business park. In addition to the 125,000 square meter, we are very pleased to announce that we renewed in October the lease with KPMG for approximately 41,000 square meters. This lease has a firm commitment until 2031. In total, Icade has signed or renewed more than 60,000 square meters since the beginning of 2025 in the La DÃ©fense and PÃ©ri-DÃ©fense area, which offers significantly lower rents than Paris CBD, while still being very well served by public transport.  Let's now move on to the operational performance of the development business line on Slide 11. The trends have remained consistent with the first half of the year. The development division recorded a stable orders volume with 2,815 units totaling EUR 722 million, down by 5%. Activity in the individual segment declined by 11% in volume, in line with the overall market. This decline occurred in an unfavorable tax environment marked by the end of the P&L tax scheme, which led to a sharp contraction in individual investor activity, i.e., minus 43% year-on-year. The momentum was more positive for our owner-occupier orders, which increased by 14%, supported by favorable measures promoting homeownership.  Bulk orders showed an 11% increase in volume, but a 6% decrease in value. This discrepancy between volume and value changes is explained by a temporary shift in the product mix. Institutional investors continue to support business activity as they accounted for 51% of orders in volume terms year-to-date. It is also worth noting that institutional investor activity has historically been stronger in the second half of the year with circa 60% of bulk orders made in Q4 in both 2023 and 2024. I'll now turn the floor over to Bruno to present the change in revenues.
Bruno Valentin: Thank you, Nicolas. Let's move to Slide 13, which we present the trend in consolidated revenue as of September 13, 2025. Icade's total IFRS revenue is down by 9% due to lower revenue from both the property investment and the development divisions. Let's dive into the financial performance and property investment division in Slide 14. In line with the figures reported in the first half of the year, gross income decreased by 6% to EUR 253 million, mainly due to tenant departures last year and the gradual crystallization of negative reversion of renewals. These effects were partially offset by the positive impact of indexation, which has gradually moderated but still contributed plus 3.2% and by early termination fees mainly related to the to-be repositioned offices. Move to Slide 15. On property development side, economic revenue amounted to EUR 729 million as of September 13, 2025, down by 12% year-on-year. This decline results firstly, from a drop in commercial segment with revenue down by 42% year-on-year due to the completion of major projects at the end of 2024, coupled with the low volume of new contracts signed in 2025. And secondly, from the progressive decline in residential backlog. I will hand over to Nicolas for the conclusion.
Nicolas Joly: Many thanks, Bruno. So, let's move on Slide 17 for the 2025 guidance. We reaffirm our 2025 guidance of a group net current cash flow of between EUR 3.40 and EUR 3.60 per share. This includes net current cash flow from nonstrategic operations of approximately EUR 0.67 per share, excluding the impact of disposals. As of September 2025, the income already recorded by Icade represented 92% of annual net current cash flow from nonstrategic activities. Let me remind you that the contribution from nonstrategic activities does not include the payment of a potential interim dividend from Praemia Healthcare in 2025.  Well, to conclude, in an environment that remains complex and uncertain, Icade teams achieved a number of successes during the quarter as illustrated by the continued execution of our disposal plan and a very strong leasing performance. We remain focused on implementing our strategy with priorities that include improving the occupancy rate of our assets, diversifying our portfolio and rigorously managing our balance sheet. And with that, let's start the question-and-answer session.
Operator: [Operator Instructions] The next question comes from Florent Laroche-Joubert from ODDO BHF.
Florent Laroche-Joubert: So 3 questions for me, if I can. So, my first question would be in offices. So, you have said that improving the occupancy rate is a high priority. So maybe could we say some words on your next challenges in offices for notably for the end of 2025 and 2026. So, what shall we expect? Maybe second question on healthcare assets. So, have you any comments to make for the other assets to be still sold in healthcare? And maybe last question on the 2933 Charles de Gaulle comment on your intention to dispose or not at the end of this asset?
Nicolas Joly: Thanks for your question. Well, maybe start with the financial occupancy rate. Well, you saw that there were some recent improvements indeed in the occupancy rate for well-positioned and light industrial segment. As I said, including the positive effect of Pulse by the end of 2025, the occupancy rate will be above 90% for the well-positioned. Light industrial 90.4%. Well, of course, there will be a slight negative impact to be expected post disposal of the Mauvin business Park, but thing is getting better month after month. Once again, this remains and shall remain the first priority for the teams as for the Investment division.  Maybe to give you a bit some visibility on the -- what to expect in 2026 regarding the expiries. I would say it's globally the same trend as in 2025, of course, with some expiries to be expected concerning the to-be repositioned assets. As more than half of the expiries will occur in H1 2026, we shall be in a position to give you some good visibility for the full year 2025 result presentation. And on the second question on the healthcare portfolio, well, clearly, given the political environment in France, which does not help and could discourage some international investors, our first priority is to focus on the international side. We've shared some good news with the Italian portfolio that shall be closed at the end of the year. We are also focusing a lot on the Portuguese assets, which are, as you know, high-quality assets that can attract unsolicited interest. And we are also marketing the small remaining part of the Italian portfolio, which constitutes of 5 assets, representing roughly EUR 20 million. On France, once again, on [indiscernible], there's no major news to share given the French context, but we are still exploring some additional routes, sale of noncore assets, additional swaps as we've done during the H1. And on the Charles de Gaulle asset, of course, we won't comment specifically on the asset or the process, but will keep being consistent with our DNA, which is to capture the maximum of the value creation. And once again, for this asset, in our view, a large part of the value has been already created through the eviction of tenants and the obtaining of the permit. And there's a good window because they have very strong liquidity on the investment market for core plus and value-add assets in Paris CBD. We saw a lot of transaction there with loads of cash. So clearly, with those 2, an opportunistic approach in our view shall be considered. Once again, the key decision will be made on value creation.
Operator: The next question comes from StÃ©phane Afonso from Jefferies.
Stéphane Afonso: First, on the EQHO Tower, could you please share the reversion rate reflected in this renewal? Second, on Icade's promotion, should we expect additional provisions or impairments since market parameters have changed? And finally, on asset values, market data points to further yield expansion. So, what should we expect in terms of asset value decline in H2? Or at least what assumptions are you using in your business plan?
Nicolas Joly: Thanks for your question. Well, starting on the EQHO Tower, maybe just before sharing thoughts on the economics, let's take a minute to celebrate, which is really good news rewarding the hard work of the team that have been working on this for several months now. As we shared with you, we try to anticipate as much as possible the large break options we are facing and we have some strong relationship with our major tenants. So, we were really happy to succeed in that. Of course, we cannot share the detailed figure but maybe highlight the one thing is that as put in the PR, the signature rent is in line with the RV as we usually do.  Of course, this crystallized a significant negative reversion. It was the highest negative reversion potential in the portfolio. That shall be captured after the end of the actual lease from October 2027. But I'm sure that if you put some raw figures, you can be able to estimate this roughly. As for the incentive, they are slightly above the market trend, but in my view, remain fully consistent with the very large surface that is considered. We are talking here about circa 41,000 square meters. So, this to conclude on the EQHO Tower is, in my view, an emblematic transaction, testifying once again the good dynamics of the area in La DÃ©fense district and the strong relationship we have with our tenants.
Stéphane Afonso: Maybe jump in on your -- I have in mind that the reversionary potential was minus 11%. So, taking into account this renewal, where does it stand now?
Nicolas Joly: Yes. This accounts for roughly 2 points out of those 11 on the average portfolio. Yes. But this once again will be captured at the end of the actual lease in 2027, because until then we are still on the current rate, okay? Is that clear?
Stéphane Afonso: Okay. Yes. Thank you.
Nicolas Joly: Jumping on your second question on Icade promotion. Of course, the market trend is still very tough. As you saw on the residential business, we've been deeply impacted by the end of the P&L tax scheme that had a negative impact on orders of individual investors were roughly minus 43%. As shared, there's better dynamic for owner occupier. The bulk sales still represent more than half of the total orders with a historical volume very strong in the Q4 and of course, very low activity in the commercial division, and that shall be the case in the years to come. So, we are still very selective in our operations.  There may be 1 or 2 operations identified will be more difficult than expected. We've done the job on the whole portfolio in June 2024. So, there is no thing that is expected once again on that. And I would say that for the global activity, there are no recovery, in my view, expected before 2027, especially due to the political agenda. As you know, next year will be the local election on the town. So, this is usually years with very low level of building permits.
Stéphane Afonso: So in your view, the provision and impairment that you recorded maybe 2 years ago are conservative enough at this stage?
Nicolas Joly: Yes, we went through the whole portfolio on that. As I said, given the context, there still can be some operation selectively that can have some issues. But once again, on the whole portfolio, the job has been done. And on the last question on the evolution of the asset value, where you saw in H1 that there was a small deceleration of the asset value decline of minus 2.8%, if I remember well, in like-for-like, both from negative impact of residual yield decompression and to a lesser extent, lower expectation for indexation, clearly. Light industrial were more resilient, of course. But if we focus on offices, while it's still difficult to confirm the timing of value stabilization as there are still very few transactions on the market to assess properly the target cap rate. And on top of that, there are still some persistently high sovereign yields. But nevertheless, as you saw, we had a strong divestment activity during the first 9 months of the year and the sale of core assets completed year-to-date confirm the level of our actual NAV.
Operator: The next question comes from Celine Soo-Huynh from Barclays.
Unknown Analyst: I got 2 questions, please. The first one is about the guidance. In the press release, you said that the disposal of the Italian healthcare portfolio could impact the NCCF depending on the closing date. So, could you please give us a number around this? And the second one is around your outlook. You sound very cautious. I would almost say quite negative on your outlook for 2026. And we know your S&P credit rating currently is negative. Are you expecting a credit downgrade coming?
Nicolas Joly: Maybe quickly on the first one, well, globally, the impact of the disposal of the Italian portfolio will be nonsignificant on the cash flows because it's expected to occur at the very end of the Q4, so not significant. On the outlook, well, cautious clearly because 2026 globally will remain very tough, in my view, on market conditions. Well, you get this political agenda in France that will definitely have an impact on the pace of recovery. We are facing persistently high sovereign yields that won't help. And thirdly, there's a lower positive indexation to be expected in 2026.  On top of those macro effects, more specifically on Icade side, well, as I said, on the property development, given the political agenda, there is no expectation in our view of recovery in 2026. And on the investment side, I was mentioning a lower positive impact on indexation that we expect roughly at 1%, so much lower than expected some months ago. And as you know, there are still some negative reversions to be crystallized in the cash flow. Of course, this is already, as you know, in the NAV, but still to be crystallized lease after lease in the cash flows. And there are still some departures, mainly on the to-be repositioned assets that will still while on the like-for-like clearly. So not negative, but clearly, cautiousness in our view on both businesses and the macro is necessary. And maybe Bruno, you want to.
Bruno Valentin: Yes. So, we remain highly focused on SAP, of course, the 3 points. First one, the disposal achieved over the last 9 months helped to keep the LTV ratio under control. Secondly, we have a limited committed level of CapEx in the pipeline. But nevertheless, we remain subject to variation in asset valuation.
Nicolas Joly: And Celine, you were mentioning, I though the outlook, but the current outlook is stable.
Bruno Valentin: It's not negative.
Unknown Analyst: Sorry, I thought your outlook was negative.
Nicolas Joly: No, no. This is stable. BBB stable.
Operator: The next question comes from Michael Finn from Green Street.
Michael Finn: Yes. I was just curious given the change in the sources of funds. Since it seems slightly better than it was, I'm curious if there is any change in the uses of those funds as well. Should I assume that the strategy is in line with the Investor Day from Feb of '24?
Nicolas Joly: Yes, Michael. Well, we are still bang in line with ReShapE. As I shared in my conclusion, we are focused on our existing portfolio and the occupancy rate. We are also focusing on diversifying our exposure to additional asset classes such as PBSA or data centers, for example. There were no major news to be shared during this Q3. But clearly, we intend to reallocate into relative developments, the cash that comes from the divestment, but we are still bang in line with the main guidelines of the ReShapE strategic plan that we've shared in February 2024.
Operator: The next question comes from Samuel King from BNP Paribas Exane.
Samuel King: Just one clarification question on earnings guidance, please, and specifically on the contribution from nonstrategic operations. I understand that it excludes a potential interim dividend from Praemia Healthcare. But am I right in thinking it also excludes a potential dividend from IHE, which last year was around EUR 10 million? And if so, what is the decision made if IHE pays a dividend? Because in theory, the disposal and repayment of shareholder loans should improve the financial position of IHE and therefore, its ability to pay a dividend this year?
Nicolas Joly: Yes. Thanks, Samuel for your question. Well, indeed, there was no assumption of an interim dividend on Praemia Healthcare and no dividend on IHE, but we don't expect dividend on IHE, most of the cash flows were drawn through the shareholder loan. So, nothing to expect on this regarding IHE. And as for Praemia Healthcare, we'll see there is an interim dividend before the year-end. And if this is the case, of course, we will be telling the market that it's the case. But indeed, you were right on the current guidance, the EUR 0.67 does not include any interim dividend on Praemia or any dividend on IHE.
Operator: The next question comes from Valerie Jacob from Bernstein.
Valerie Jacob Guezi: I just wanted to ask a follow-up question on your rating with S&P. My understanding was that S&P had assumed approximately EUR 700 million in order for your outlook not to be downgraded. I mean I know your outlook is stable, but I'm talking about an outlook downgrade. So, I was wondering you've only done EUR 400 million so far. If you don't sell Charles de Gaulle in 2025, is there a risk that your outlook can be downgraded? Or maybe if you can share some discussion you're having with S&P.
Nicolas Joly: Well, today, once again, we are consistent with the trajectory we've shared. We've demonstrated our ability to sell assets, even sell assets at the right price. We said it was above NAV. There is a few opportunities in the pipeline that make us confident in being able to secure the debt on debt plus equity threshold at 50%. So, at this stage, nothing specific to worth sharing.
Valerie Jacob Guezi: So if you don't sell anything until the end of the year, there is no risk in your view that your outlook is going to be downgraded. Is it what you're saying or?
Nicolas Joly: Well, it's not for me to say. I mean it's S&P to say. But clearly, today, we've demonstrated that we are able to secure our debt on debt plus equity trajectory. And on top of that, the additional 2 KPIs are very comfortable headroom regarding the guidelines set by S&P.
Operator: There are no more questions at this time. So, I hand the conference back to the speakers for any closing comments.
Nicolas Joly: Okay. Thank you very much. Happy to share this part of the morning with you. Looking forward to talking to you. Have a nice day. Bye-bye.